Operator: Welcome to the Amyris Fourth Quarter 2014 Conference Call. This call is being webcast live on the Events page of the Investor section of Amyris' Web site at amyris.com. The call is the property of Amyris and any recording, reproduction or transmission of this call without the expressed written consent of Amyris is strictly prohibited. As a reminder, today's call is being recorded. You may listen to a webcast replay of the call by going through Investor section of Amyris' website. I would like to turn the call over to Joel Velasco, Senior Vice President. Sir, you may begin.
Joel Velasco: Good afternoon. Thank you for joining us. With me today are John Melo, our Chief Executive Officer; and Raffi Asadorian, our Chief Financial Officer. On this call today, you will hear discussions of non-GAAP financial measures. Reconciliations of these non-GAAP measures to the most comparable GAAP financial measures is contained in the press release distributed today, which is available at amyris.com. The current report on Form 8-K, furnished with respect to our press release, is also available on our Web site as well as on the SEC's Web site at sec.gov. We will provide certain forward-looking statements about events and circumstances that have not yet occurred, including projections of Amyris' operating activities for 2015 and beyond. These statements are based on management's current expectations, and actual results and future events may differ materially due to risks and uncertainties, including those detailed in the Company's recent SEC filings and the Risk Factor section of the Amyris' quarterly report on Form 10-Q filed with the SEC on November 07, 2014. Amyris disclaims any obligation to update information contained in these forward-looking statements, whether as a result of new information, future events or otherwise. Please refer to the Amyris SEC filings for a detailed discussion of the relevant risks and uncertainties. I will now turn the call over to John Melo.
John Melo: Thank you, Joel. Good afternoon, and thank you for joining us today to review our 2014 full year results as well as discuss our 2015 plans. I'm pleased to have Raffi Asadorian joining us today for his first quarterly call. Raffi has been more this now for a couple of months and I hope many of you have an opportunity to meet him in person soon if you haven’t already. Raffi brings not only sound financial experience to Amyris as CFO, but also considerable expertise in the pharmaceutical space, where we see promising growth opportunities with our recently launched microPharm platform more on that later. Let me first review our 2014 results, along with Raffi and then provide outlook for 2015 and beyond. 2014 was a transformative year for Amyris. We delivered on the promise of our technology by manufacturing at industrial scale to breakthrough molecules now used in a range of sectors from consumer care to transportation. We realized record low production cost, continue to maintain a check on our operating expenses and with successful financing efforts, ended the year in our best year-end cash position of the last couple of years. Let me review our progress today by making four key points. First, we delivered record breaking operational performance at industrial scale last year, surpassing our internal plans and setting the stage for even stronger growth in coming years. One of the key indicators of our operational excellence is our production cost. For the full year, our average farnesene cash production cost was $3.40 per liter, which was better than our best runs in 2013. In the fourth quarter, our farnesene cash cost was below $3 per liter, with November achieving a new record cash production cost of less than $2.50 per liter, that's a $1.50 per liter less than our best performance in 2013. We now have two years of consistent production cost reductions, a testament to our proven ability to scale up highly engineered streams and continuously improve fermentation and production process efficiency. But it isn’t just low farnesene production costs that underscore our strong operational performance in the last year. We produced our first fragrance molecule at costs lower than planned at Brotas, a pleasant surprise to our collaboration partner Firmenich. Our downstream finishing costs for our finished products, such as our Neossance Squalane, continue to decrease as well, allowing us to expand market share and margins. In short, our ability to product multiple molecules from our preparatory strains, consistently and in low cost sets us apart from our industry peers. We are the leading producer of low cost, high performance renewable hydrocarbon molecules that are now having a positive impact on millions of consumers through many of the world's leading brands. We are the Amyris' eye that is raising consumer expectations, making our partners more profitable and improving the sustainability of our plant. Second, this continued operational success is only possible because of a great team and inspired science. From our labs, here in California to our reliable production in Brazil, consider this, in 2014 alone, we generated about 1 million unique strains for production of a range of tailored molecules from our building block hydrocarbon farnesene to fragrance oils and even a pharmaceutical compound. Thanks to our proven track record of coding DNA and streaming over 100,000 each strain per month, we are dramatically accelerating the time to market for target molecules in our pipeline through our rapid design, build, test learn cycle. We are now commercializing our exceptional R&D capabilities with extended collaborations through our microPharm platform. Third, we've transitioned and strengthened our collaboration business model from depending on a single source of funding for our R&D activities namely TOTAL to a broad range of collaborations with multiple partners. In 2014, we achieve collaboration inflows of about 35 million from about 10 partners. The lower number for 2014 collaboration inflows compared to 2013 was the result of the deliberate shift from upfront to milestone payments, as I described before. As I discussed in our prior quarterly calls, we have been evolving our collaboration strategy to emphasize milestone payments instead of upfront payments because we believe this approach better rewards our stockholders in the long-term and reduces the initial hurdles for our partners. This shift did contribute to lower cash inflows in 2014. But we expect the reduction will be offset by more predictable cash flows in coming quarters and years, consistent with our plans to deliver in the range of $60 million to $70 million a year of collaboration inflows. Since the start of the year, we have already received $16 million of these planned collaboration inflows for 2015 and are tracking for one of our best quarters to-date, based mostly on achievement of milestones under our existing collaboration agreements. You should continue to expect some choppiness in these inflows from quarter-to-quarter, as the nature of these projects and the required GAAP accounting do not always come in the same quarter. Four, our product commercialization efforts are progressing well and are in the process of significant expansion in our number of channels to market. Let me highlight just some of the many milestones in this area and then describe how we are implementing a stronger sales strategy. We delivered on the first fragrance molecule to our partner Firmenich, which has been pleased with the quality and cost of the product they receive and are commercializing through their existing customers. This is one of the most successful new product launches in their history. We introduced our second emollient, Hemisqualane, to expand our Neossance brands position in the growing global consumer care market. We already have over 300 brands testing Hemisqualane in their labs with very positive feedback. We are experiencing more sales than expected from this launch and expect this to be a disruptive molecule for the emollient's market. We are seeing brands use this emollient in skin care, sun care and hair care as well as hand and face wipes. We developed a renewable solvent that outperforms other bio-based products and delivers equal, or better, cleaning performance to conventional solvent products, which are declining in use due to regulatory pressure associated with volatile organic compounds, or VOCs. We transition from the development phase to the commercialization phase for two farnesene derivatives; for the fragrance industry through our collaborations with Givaudan and Takasago. Along with our partner and shareholder TOTAL, we are pleased with the continued success of our fuels collaboration. We expect to keep Amyris' own fuels business down to about 10% of our product revenue, or less than 5% of our overall revenue for 2015. This keeps volumes for fuels, outside our TOTAL joint venture, flat. For reference, in 2014, fuels represented about 20% of our product revenue. Now, while these are meaningful achievements in our industry, they do not reflect our aspirations for Amyris’ commercial success. As Raffi will elaborate and as detailed in our press release, our 2014 renewable product sales, revenue, was 23.4 million, or about 50% better, than our 2013 results. This was short of our prior guidance, primarily due to jet fuel, where a combination of lower oil prices and competitive forces, led to a loss sale for significant volumes. We were also negatively impacted by the dollar appreciation, which affects our Diesel de Cana sales in Brazilian reais. Nevertheless, as we have remained vigilant with our expenses and focused on lowering production costs, our product cash margins continued to improve as we maintain the renewable product average selling price, what we call ASP, of approximately $6.50 for the fourth quarter or about $8 for the full year of 2014, well in line with our plans. Over the last several months, we've been strengthening our sales efforts to accelerate revenues and market access as well as expanding our business goal. Let me highlight some of the ways we are already doing this. We have restructured our commercial organization in an effort to make sales and marketing more customer oriented with a team on the road working with customers to drive increased sales. Our efforts are now more sector focused, establishing clear sales teams for products already in market, such as our Neossance emollients and high performance industrial cleaning products. The new structure includes regional sales functions by sector, key account expertise for the larger global brands and a functional marketing support team to ensure consistent execution of our authors across different industry segments. For selective product opportunities, such as our emollients and high performance solvents, we are not only focused on selling through distributors regionally but also building our own formulations that we will sell-through private label partners, wholesale distributors and direct-to-end consumers through our own brands. Stay tuned in the coming months as we launch our first products available for direct purchase through [MfDaddy], our industrial hand cleaner brand and BIOSSANCE our consumer skin care brand. Our strategy is to formulate the highest performing products for each category and go direct to market only for products where we have a significant cost and performance advantage. We call this our market leading product strategy. We are also building a strategic approach in developing new collaborations in related revenues. As you saw in our recently announced microPharm press release, we are in active discussions with several of the leading pharma companies in Asia and North America, with a focus on applying our platform for small molecule discovery and production. Based on these discussions, we've realized that our industrial platform is well suited for the development and production needs of the pharma and industry. We can provide faster and lower cost development and production. We expect our first collaboration in pharma by the end of 2015. In summary, we are delivering on the promise of industrial synthetic biology by developing and producing materials the world needs with higher performance and lower cost and alternative sources. This is Amyris' competitive advantage and via our partners leaders in the industries ranging from renewable chemicals, the flavors and fragrances and biopharma, are seeking to work with us. We are evolving our sales and marketing efforts by entering end markets in other words going further downstream where we have a market leading formula. We expect this will provide us the strong short-term sales and margin growth. Let me now turn the call over to Raffi, to discuss our fourth quarter and 2014 financial results, before I discuss our outlook for 2015 and beyond.
Raffi Asadorian: Thanks John and good afternoon everyone. I'm very happy to be on board and energized to work with a great team here at Amyris. Let's jump right on to our Q4 results. Total revenues for the fourth quarter were $11.6 million. The revenues for the quarter consisted of $6.9 million in collaboration and grant revenues plus an additional $4.7 million in product sales. The decrease compared to the fourth quarter of 2013 is driven mainly by the timing of accounting for collaboration and grant inflows, as well as the finalization of grant projects with U.S. Department of Energy in 2013. When comparing to the prior quarter, remember the third quarter of 2014 included the revenues realized from the shipment of our initial fragrance oil production. Our full year 2014 total revenues were $43.3 million, a 5% increase compared to 2013. The increase was driven by a nearly 50% increase in product sales to $23.4 million, but as John reviewed, our collaboration and grant revenues declined to about $20 million. This decline was largely driven by the timing of the revenue recognition of certain current collaboration as we shifted our agreement structures to milestone base from upfront payments and the successful completion of several government contracts in 2013. In addition to our GAAP revenues, we also closely monitor it in cash revenue inflows and non-GAAP measure, but key indicator of our commercial success. Cash revenue inflows consist of the total cash inflows from collaborations, grant and product sales. 2014 cash revenue inflows were $58.9 million, of which, $5.7 million came in the fourth quarter. As John mentioned, our cash revenue inflows were below our expectations. On the collaboration side, our cash inflows from grants and collaborations of $35.5 million were lower due to the timing of certain collaboration payments that we believe we will realize in 2015. As John noted, we expect considerable collaboration inflows in the first quarter of this year. On the renewable product side, where we realized $23.4 million in product sales, the lower than anticipated results were fairly due to both the loss of significant renewable jet fuel opportunity with a leading global carrier based on the sudden drop in crude oil prices, as well as the impact of the strengthening dollar or real denominated renewable diesel sales in brazil. Moving down the income statement, our fourth quarter cost of product sold was $9.3 million compared with $12.1 million in the fourth quarter of 2013. Our cost of product sold for the full year 2014 was $33.2 million compared to $38.2 million in 2013. As John noted, our non-GAAP cash production cost continue to be decrease to record low levels. However, from a GAAP perspective, there is a lag in realizing the lower current tax production costs and the cost of products sold in our income statement, as we work through and sell inventories, that were produced at a higher cost than our current production cost. And due to the seasonality in the Brazilian sugarcane harvest, we ended the calendar year with higher inventory for the period. Reductions were assumed again early April, and the harvest picks up again. On a non-GAAP basis, our cash costs of product sold, which excludes depreciation and amortization of $27.6 million in 2014 compared to $32.2 million in 2013, resulting in a total non-GAAP gross margin of 53% in line with our prior forecast and based on total cash revenue [dollars]. Please refer to the reconciliation of our GAAP to non-GAAP financial information table in our press release. Let's now move to our operating expenses. We continue to manage our expenses carefully. Combined R&D and SG&A expenses were $26 million in the fourth quarter of 2014 compared with $27.4 million for the fourth quarter of 2013. These amounts include certain non-cash expenses, such as depreciation, amortization and stock based compensation. On a non-GAAP basis, which excludes these non-cash items, our combined operating expenses were $20.4 million in the fourth quarter. For the full year, our cash, R&D and SG&A expenses were $81.6 million, a 3.4% decline over 2013, an evidence of our unrelenting focus on cash generation. These results were well in line with our target of $80 million to $85 million in cash OpEx for the year. As detailed in the press release, we reported net-income of $58 million for the fourth quarter. But when excluding non-cash gains from change in fair value of derivatives of $96 million, stock compensation of $3.3 million and impairment of intangible assets of $3 million, our adjusted non-GAAP loss for the fourth quarter of 2014 was $31.6 million or $0.40 per share compared to a net loss of $25 million or $0.33 per share for the same period of 2013. Turning to our balance sheet. Our cash position at the end of the year was $43.4 million, which was measurably better than at the end of the last year. Our debt at year-end was $232.5 million, net-discount of $80.2 million. As we've previously noted, while the debt levels may appear higher than nature and quality of our debt to be considered, about 75% of the debt is in the form of convertible notes issued to our leading shareholders such as TOTAL, Temasek and Fidelity, with another large piece consisting of loans from development banks in Brazil. All the holders of our debt are in line with the success of the Company. While our cash position is good, we are considering various funding opportunities, and intend, as we have in the past, to access equity and debt financing that aligns with our business strategy. Specifically, we just announced the signing of $50 million committed equity facility, whereby we can issue and fund at our discretion. This provides us with opportunistic and flexible financing and quickly access capital is needed. Let me turn the call back over to John, now to review our 2015 plan and longer term outlook as well to take your questions.
John Melo: Thank you, Raffi. Thanks to our proven track record in R&D and manufacturing. We've built a strong foundation for continued execution of our business strategy. Our growing collaboration pipeline is not a scientific exploration for some uncertain payout in the future, but instead, a security of ongoing dividends which can methodically deliver on our milestones at the labs and in our biorefinery. We have been mindful of the challenges of scaling up but pleased with our sector leading success over these last two years of operations at Broadridge. In 2015, we expect to build on this track record by expanding our renewable product portfolio, and more importantly, expanding our collaboration partnerships into new markets, such as biopharmaceuticals, with our discussions for an initial project advancing very well. Based on our plans and current performance, we expect to achieve positive cash flow from operations in the first quarter of 2015 and to deliver over $100 million of revenue for the full year 2015. Now I'd like to provide you with some specific guidance for 2015 and beyond. First, we expect to achieve total revenues of about $100 million to $110 million for 2015, which we know is generally in line with current street expectations. Based on our current visibility, we expect our 2015 revenues to remain bias towards collaborations as we continue to grow our product sales. We expect our product sales, excluding fuels, to more than double in 2015. Given the current market environment and our focus on higher margin products, we expect fuel volumes to remain flat, and to represent less than 10% of our product sales in 2015. We expect the phasing these revenues to be weight more than the first, third and fourth quarters, with collaboration revenues positively impacting our results earlier in the year and product sales continuing to ramp up ratably each quarter. We expect nearly half of our collaboration inflows, on a non-GAAP basis, to be delivered in the first quarter. Second, we expect our weighted average selling prices to remain in the $6 to $8 per liter range. As noted earlier, our 2014 average selling prices were about $8 per liter despite negative impacts of crude oil prices and a strong dollar. Third, at these selling prices indicating an expected mix towards higher margin products and as we make our way through existing inventory and then begin to realize the better production costs, we expect to achieve product gross margins approximating 20% earlier in the year and expanding to our stated 50% range by year-end. We expect our cash margin from collaborations and product revenue to remain above 60% for the full year. Four, we expect to maintain cash operating expenses of 80 million to 85 million which excludes depreciation, amortization and stock compensation expense. Capital expenditures of around 6 million to 8 million and an increase in working capital of around 5 million to 7 million by the end of the year. Finally as mentioned above we expect to achieve positive cash flow from operations in the first quarter of 2015. We expect continued quarterly lumpiness of collaboration inflows and product revenues as we built sales through new channels through the end of this year. We remain confident that we are on the right path to profitability and intend to reinvest in our commercial operations to deliver on our total revenue goals for the year. Now that we have proven our technology and proven that we can efficiently produce at industrial scale with improvements each quarter our focus has turned towards our commercial efforts. Our collaborations remain the engine of innovation at our company that allows us to showcase our higher performance renewable products. With the success of our Hemisqualane launch our continued success with Squalane under our Neossance line our new channel partnership with U.S. AutoForce and the launch of our two new brands [MfDaddy] Cleaners and BIOSSANCE Cosmetics we are beginning to breakthrough in sales and marketing as we have with our technology and manufacturing performance. Our strategy continues to be first partner with the world’s leading companies in collaborations where we are paid to deliver better performing lower cost products that are distributed by our partners and provide a long-term revenue stream to analysts. We have proven this model with over 10 partners under collaboration agreements over 20 molecules under contract and our first new molecule produced and successfully marketed in 2014 and now brought this bio-refinery now producing two different fermentations molecules that are performing at lower cost than expected. We are continuing to expand partners in industries and will add a third fermentation molecule to grow this production this year. Second, focus on high value no compromise products where we can achieve the market leading position. We are focusing on two market segments, emollients and industrial cleaning and solvent products. These markets represent over $80 billion of total addressable market where we can be the low cost higher performance solution for those customers. We are currently the lowest cost producer of two of the world’s highest performing emollients that are continuing to deliver very strong revenue growth. We have one of the best performing renewable solvents and have formulated several leading industrial cleaning products that meet new environmental VOC standards while delivering superior performance. Three, we will joint-venture or sell our technology where we have vantage product performance in a commodity market where our access to capital and the available returns on capital are less than 20%. Our JV with TOTAL is a good example of this as we have realized significant investment from TOTAL that has benefited our production costs and time to market for many of our high value markets in exchange for sharing the fuel intellectual property and we have access to a long-term royalty of 10% on fuels. This is a win-win as we focus on where we can have the greatest value while our partner is much better suited the scale in the fuels market. This has been and continues to be a terrific partnership that is now on a path to less than $1 a liter for high performance renewable jet and diesel fuel. As we progressed through the year, we expect to provide more forward looking statements and guidance for 2015 and beyond. Thank you for your continued support as we continue to make better predicts for a better planet. I would now like to open the line for any questions you may have. Taria could you help us with questions?
Operator: [Operator Instructions]. And our first question comes from the line of Brian Lee of Goldman Sachs. Your line is now open.
Unidentified Analyst : Hi this is Berry on for Brian. I have a quick question about your equity offering. What are the triggers we can look forward to determine when and how much you will tap into that?
Raffi Asadorian: I will take that. The triggers will be really there, first of all they are at our discussion. We see no need to utilize that facility in the near-term. And we do if needed from a cash flow basis at some point during the year if we need to use those we will use that facility we intend to do so. But right now we have absolutely no plans to utilize that.
Unidentified Analyst: And one other quick unrelated question, are you experiencing any effects from the drought or do you expect any delayed effects from that?
John Melo: Not at this time and we're in a fairly good region and I think no direct impact to us at this time.
Operator: Thank you. Our next question comes from Pavel Molchanov of Raymond James. Your line is now open.
Pavel Molchanov : Just to clarify when you say that 2015 revenues will be bias towards collaboration, does that imply product sales being less than half of the 100 million to 110 million?
John Melo: I would say, it's probably good think about it as even and if there is any movement in other words if one is greater than the other don't need collaborations.
Pavel Molchanov : And any sense of the trajectory kind of I think you mentioned Q1 is going to be relatively slow?
John Melo: Yes, I think actually Q1 is going to be one of our best quarters ever so very strong on collaborations and then you'd imagine products building starting with Q1, stronger Q2, very strong Q3 and Q4, and Q3 and Q4 in addition to just normal growth in our base products will each out a fragrance molecule produced regardless.
Pavel Molchanov : And then lastly on the fuel CD with TOTAL, I asked a question three months ago when oil was 70 bucks I'll as it again with as low as 50, given the expense which TOTAL is cutting, spending across the board really austerity mode, how is this affecting their plans for scaling up diesel and jet fuel?
John Melo: They are full on, were actually in discussions with a couple of cellulosic sugar partnerships for production in Europe, they're full speed ahead and they're actually looking at expanding the collaboration with us for some additional molecules but beyond same for jet and diesel today.
Pavel Molchanov: So same time table versus what for example you were talking about six months ago?
John Melo: Yes, no change at all Pavel, they continue to stay focused, they're big I mean you think about there is two key milestones if you want to call that. The first is we're about two years away from about a dollar or so production cost, so that's kind of trigger one and then assuming achieving a dollar production cost is like to have first industrial production in Europe before 2020 call it late 2019, 2020.
Operator: Thank you. [Operator Instructions]. Our next question comes from the line of Jeff Osborne of Cowen and Company. Your line is now open.
Jeff Osborne: John, I was wondering if you could help me out on the 2014 revenue split, you mentioned fuels was about 20%, is there any granularity that you can provide on the other 80%?
John Melo: Sure, let me give some data in front of me so I'd like to provide a little more granularity than we have in the past on this. So the best way to think of it for 2014, you can think of this our leading sales number which was about 40% of sales is in the emollients market. Our second biggest revenue came from the fragrance industry you can call that about although less than 40% and obviously around 20% for fuels that kind of breaks down our product revenue.
Jeff Osborne: And then do we think about '15 with the new fragrance molecule in the second half that you alluded to with fragrance be north of half and fuels 10%?
John Melo: Yes, let me give you a little color there. The way I would describe this Jeff would be, in 2014 when you consider collaborations and product we were about $25 million in call it revenue and inflows from the fragrance industry. Going into 2015 the fragrance industry will generate something north of 30, call it between $30 million and $35 million of inflows into the company. So again very strong continued growth in fragrances, when you look at the emollients market, you could think of it as roughly 10 million in 2014 moving to about 20 million to 25 million in 2015 and then you can think of the solvents product and what we're doing with industrial cleaning products going from call it less than 0.5 million to around 10 million in 2015 and then fuels staying at around 6 million in 2015.
Jeff Osborne: And it's fair to say that fuels mix is bias towards diesel versus jet in '14?
John Melo: Yes, it's a great clarification, we try to guide that which just to say from what we've guided publically, it's basically keeping diesel in Brazil at a constant, because obviously we've got the agreements with the bus fleets and we haven't expected any jet in what we've guided publically. We may still get some jet but I don’t want us to count on that, and I don’t want to guide that way, because that’s where the risk is in fuels and I would much rather have an expectation that says we are going to deliver fuels in the markets we are currently selling in, if we get any upside there, great but don’t count on that growth while oil prices are at the current level.
Jeff Osborne: I heard your positive cash flow for the first quarter, would it be positive cash flow for the full year or is there just the surge of collaboration payments in Q1 that allows you to achieve that maybe some risk to the full year numbers?
John Melo: What I would say is a very strong first quarter. I think a bit choppy in the second and I think a very strong second half. And so part of what we are doing is really focusing on getting to that at least operational cash flow positive not better in the first quarter and then after the first quarter of deciding how much we want to invest in growth based on what we are seeing in the success of our new channels to market.
Jeff Osborne: And then two other quick ones here, one on a collaboration payments, as your forecast that for '15, is there any risk to those various different programs. I think you mentioned 10 or 15 participants in '14 as you look at the people that will be funding the various programs in '15. How many of those are programs that are tightly aligned with the price of oil relative to and are very cost effective in a $50 environment.
John Melo: None of our growth is coming from folks that are tightly linked to the price of oil.
Jeff Osborne: And the last question I had is just with the equity offering. Is there any contemplation of warrants associated with that in the offering or is this just straight equity at some pre-negotiated price. If you could just walk through the mechanics, could you walk through the process of you deciding when to do it but what actually is a buyer getting?
John Melo: I'll just provide a brief answer and then have Raffi jump in with any other thoughts he wants to add. It’s a straight equity, there are no warrants associated and there is a slight discount based on price of the stock. And I will let Raffi talk to what that range looks like.
Raffi Asadorian: The discount range from anywhere between 3% to 6% depending on the price of the shares.
Operator: [Operator Instructions]. And at this time I am showing no further participants in the queue. I would like to turn the call back to John Melo for any closing remarks.
John Melo: Great, thanks Taria and again I would like to thank everyone who’s been on the call. Thank you for your continued support. And we look forward to giving you a strong first quarter update and appreciate the time you took for the fourth quarter and 2014 results. Thank you.
Operator: Ladies and gentlemen thank you for your participation on today’s conference. This concludes your program. You may now disconnect. Everyone have a great day.